Operator: Good morning. My name is Latonya and I will be your conference operator today. At this time I would like to welcome everyone to the 2007 Q4 Pentair earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. [Operator Instructions]. Thank you. Mr. Gleason, you may begin the conference.
Todd Gleason - Vice President, Investor Relations: Thanks Latonya and welcome to Pentair's fourth-quarter earnings release conference call. We are glad you could joint us. I am Todd Gleason, Head of Investor Relations. With me today is Randy Hogan, our Chairman and Chief Executive Officer, and John Stauch, our Chief Financial Officer. On today's call we will provide details on our fourth quarter and full-year 2007 results. As well as update you on Pentair's outlook for 2008. We also introduce first quarter 2008 guidance. Before we begin, let me remind you that any statements made about the company’s anticipated financial results are forward-looking statements subject to future risks and uncertainties such as the risks outlined in Pentair's 10-K as of December 31st, 2006 and Pentair news releases. Forward-looking statements included herein are made as of today and the company undertakes no obligation to update publicly such statements to reflect subsequent events or circumstances. Actual results could differ materially from anticipated results. Today’s conference call is accompanied by a presentation, which can be found on the financial information section of Pentair's website at www.pentair.com. We will reference these slides throughout our prepared remarks. Any references to non-GAAP financials are reconciled in the appendix of the presentation. As is our custom we will reserve time for questions and answers after our prepared remarks. I will now hand the call over to Randy who will take you through Pentair's Fourth Quarter and full year 2007 results and highlights, provide his perspective on these results of our businesses, and the markets they serve. And provide an overview on how we're driving to deliver more results in 2008. Then John will conclude our formal comments with additional information regarding 2007 financials, provide first quarter 2008 outlook and wrap up with some more color on full year 2008 guidance. Randy?
Randall J. Hogan - Chairman and Chief Executive Officer: Thanks, Todd. And thank you all for joining us today. Let's begin by reviewing Pentair's fourth quarter highlights shown on slide number 2. Overall, Pentair fourth quarter sales of $830 million were 12% above the $743 million generated last year. Our organic growth was plus 7% in the quarter or up 4% in local currencies. The diversity of our businesses and markets enabled us to grow despite softness in North American residential markets. Fourth quarter sales in our Water segment were up 13% versus last year or up 6% organically. Water sales were led by success in our key growth initiatives, such as foodservice and industrial filtration and strong sales growth in pool equipment and Water International. Our Technical Products business grew 9% in the fourth quarter as sales in our electrical business were up double digits, and our Asia and Pacific region posted over 40% growth once again. As the slide shows, Pentair expanded margins 330 basis points, both Water and Technical Products contributed significantly towards this margin expansion. Looking at total company margins year-over-year, the positive impact from volume and price coupled with solid productivity, foreign exchange, and a nice contribution from acquisitions provided 600 basis points of margin growth. This easily offset a negative 270 basis point impact from total inflation. The company delivered $0.48 per share of earnings from continuing operations on revenue growth of 12%. The $0.48 of EPS includes the $0.01 benefit from a non-recurring tax item as well as a negative $0.04 impact from additional restructuring and a legal settlement we had in the fourth quarter. Adjusted earnings per share were $0.51, up 65% versus the fourth quarter 2006 adjusted earnings per share of $0.31. Also in the quarter, the company significantly modified its long-term defined benefit and retiree medical plans. The change provides greater flexibility and control to our employees while reducing the uncertainty regarding the company's long-term liability. The change triggered an immediate curtailment benefit that was partially offset by additional one-time cost actions we took in the quarter. The impact of the curtailment benefits and costs provided a positive $0.02 of EPS, which is included in our $0.51 adjusted earnings per share and it's approximately 50 basis points of the margin in the quarter for the total company. John will provide additional detail on the benefit plan changes a little later in the presentation. Finally, a great success in '07 was the tremendous free cash flow delivered in the quarter and the year. Fourth quarter free cash flow equaled $96 million and for the year, we generated $285 million of free cash flow, an improvement of $104 million year-over-year and well above our goal of $250 million. So those are the highlights for the fourth quarter. Now, let's turn to slide number 3 and review our Water business in more detail. In the fourth quarter, Water grew sales $65 million to $566 million, up 13% versus last year’s sales. Organic sales were up 6% or up 4% in local currency. The composition of our total Water sales are shown on the top left section of slide 3. Let me give you some color on our sales by business and region. In our international operations, we continue to see impressive results. Our European Water business was up 51% year-over-year or up 12% after removing the impact from the Jung Pump acquisitions. Eastern European and Middle Eastern sales, each expanded approximately 20% in the quarter. In Asia, we continue to drive strong double-digit growth in the fourth quarter. Our Asian Water sales were up 28% year-over-year driven by sales in China for Filtration and Pump Systems and also in India led by sales of commercial pumps, food service solutions and rural water systems. One of the most exciting developments here is the success we are beginning to have in selling systems by focusing on application based solutions. Examples include the drinking water system for the new Beijing airport and the drinking water and commercial pool solution at the Shanghai World Financial Center. Pentair was selected as the Partner of Choice in Shanghai as we were the only company that could provide both the drinking water solutions and the commercial pool solutions that customer was looking for. Now, let's shift to discussing our domestic water businesses. First, we recently renamed our pump business, flow technologies. The new name better reflects our global growth strategies as exemplified by our system wins in China. In our North American flow technology business, sales were flat, as solid growth in commercial and municipal vertical markets, new products, and pricing actions offset declines in residential markets. Commercial and industrial market sales will remain robust with growth in the double digits. While we also continued to have double-digit growth in our Fairbank [ph] municipal pump markets where we finished with a record backlog of orders. Our North American pool and spa sales were up 11% compared with Q4 of last year. As we stated in our last quarter's conference call we expected to see solid sales growth in pool equipment in the fourth quarter as our order pace was good and year-over-year comparisons were less challenging. Our leaning energy efficient and noise reducing IntelliFlo pump and related products continue to yield double-digit growth. While the market remains down, our growth demonstrates the power of our distribution channel and the importance of our new products. As you know the fourth quarter is also the period when we, in the industry offer the early buy program to keep our factory's level loaded during the normal off-season in winter. The result of this year's program exceeded our initial expectations and was significantly higher than 2006. Despite this we remain cautious with regard to the pool market. We are aggressively managing our inventory levels and we maintain a laser focus on productivity and lean initiatives. North American filtration sales were up 11% driven by the Porous Media acquisition. Organic sales were down slightly as continued momentum in our commercial, food service and industrial markets could not offset declines in residential water treatment. Let's review our Water margins. You can see our Water operating income walk on the top right section of the slide. As it shows, water margins were up 450 basis points on an adjusted basis. We had a strong impact from growth, which contributed a positive 290 basis points, productivity added 450 basis points as our efforts derived lean and reduced our variable and fixed-cost structure yielded solid results. Included in this productivity is a positive 80 basis points associated with the aforementioned change to our long-term defined benefit in retiring medical plan, net of cost actions. In aggregate, growth and productivity more than offset a negative 290 basis point impact from total inflation and enabled us to achieve adjusted water margins of 12% for the quarter. Before we transition to technical products, I would point out that we have some modest restructuring charges in the quarter. In our flow technologies business we consolidated our product line associated with our residential pump business. This will improve our cost position longer term. We also settled a portion of the horizon litigation by agreeing to pay the claim for legal fees from the original trial in 2000. We will continue to update you on the status of this litigation in our SEC filings. Restructuring charge and the legal settlement are included in the final component of our operating income walk and allow you to bridge adjusted to reported operating income. So in summary, we continue to make solid progress in our Water business despite turbidity in the North American residential market. We're working on the right things to move our margins higher while also investing for future growth in the most attractive vertical markets. Now, let's move to slide number four and review our Technical Products business. In short, Technical Products had another great quarter. We grew sales 9% and expanded adjusted margins 150 basis points to 15.7%. Looking at Technical Product sales results, our international business continue to grow nicely. Technical Products Asia grew 44% led by electronics growth in China, and European sales grew 8%. In North American electronics our sales were down 3% because of lingering effects of contraction and consolidation in the telecommunication market. Our North American electrical business grew 10% versus last year as we continue to expand our vertical market presence and gain share in a strong market. And we exited 2007 with double-digit order rates in our electrical business, which continues to see strong demand. Technical products margins are highlighted at the top right section of slide number four. Together, growth and productivity contributed 360 basis points of margins expansion. This easily offset the impact of a negative 210 basis points from total inflation. Our Lean-driven productivity actions continue to produce solid results as we had excellent conversion on a 9% sales growth. As we announced in October, we took action to exit our electronics factory outside Chicago. The pre-tax charge associated with this action as shown in the walk is a negative $2 million item. The bridge is adjusted and reporting operating income and margins. This action will improve our North American electronics cost structure as we continue to right size this business given the drop in sales volume. So, Technical Products delivered a strong top line and executed well by delivering another outstanding quarter. We are carrying good momentum in 2008 and see continued strong electrical performance and strengthening in global electronic market. Please turn to slide number 5, our 2007 full year financial summary. In a few minutes, I'm going to detail our observations on the full-year key accomplishments. So let me quickly just touch on the financial highlights for 2007 on this slide. Sales for the full year grew 8%. 4 points of growth came from Porous Media and Jung Pump acquisitions, which have been seamlessly integrated into our businesses and are exceeding expectations. Sales in both water and technical products were up mid-single digits on an organic basis as our key growth initiatives yielded tremendous results and the power of our brands and channels allowed us to get price in most businesses. Total year growth was very good given the significant slowdown in the North American residential markets, which impacted Water and the North American telecom and datacom markets, which impacted technical products, particularly in the first half of the year. We made significant improvements in our water margins ending the year at a little over 12% as our Lean initiatives and cost actions on structured G&A and supply chain are producing results. Technical products maintained margins in the range of 15% as volume conversion and continued progress with Lean and cost actions made a nice impact. We were able to overcome escalating commodity costs mainly stainless, steel early in the year and soft telecom and datacom markets in North America. We improved our ongoing tax rate by approximately 100 basis points and we exited the year with a more efficient tax structure driven by our European business structure and low-cost China operations. In the year, we took action to reduce operating cost structure by closing three high-cost manufacturing facilities and several distribution centers, which in aggregate reduces headcount by over 450 people. The benefits from both tax and restructuring will really play out in 2008 and beyond. And finally, we grew earnings per share at 21% on an adjusted basis to $2.08. This increased income along with better working capital management enabled us to generate $285 million in free cash flow, a record for the company and over 135% conversion of net income. So across the board, we certainly feel we made significant progress and we say we had a very good year in 2007. Let's move to slide number six, which is one of our standard earnings chart. I am not going to spend a lot of time on this one but I would like to point out some of our key performance metrics. As I just mentioned, we generated $285 million of free cash flow for the year. Please note the areas highlighted in yellow. The first highlight shows that we were much more efficient with regard to working capital, that was one of our goals for the year. You can see we had a year-over-year improvement of about $95 million in working capital, used it from 2006 to 2007. The second highlight is to point out that we continue to invest for growth in new products as demonstrated by the $62 million of capital expenditures in 2007, an $11 million increase year-over-year. If we take a look at the company's… take a look at the components of return on invested capital on the right side of the slide, you see our fourth quarter trailing net operating profit after tax or NOPAT was $262 million. Our average invested capital was $2.76 billion, which gives us an after-tax ROIC of 9.5%, a 10 basis point improvement over last year. We are on our path towards improving this metric, as we aggressively drive our operating results and remain very prudent regarding our use of cash. We finished the year with a 36% debt-to-total capital ratio and we are very comfortable with our current debt levels. As a reminder, the non-GAAP to GAAP reconciliation of these calculations and numbers are included in the appendix to this presentation. Now please turn the slide number seven. I would like to share my observations on a few of the key items we accomplished in 2007. Rather than read them through item by item, I would summarize them in the following way. We entered 2007 with the priority that we would make stronger operational improvements, this need with on the heels with a sudden and pronounced decline in the North American residential markets during the second half of 2006. At that time we expected this market would decline another 10% to 15% in 2007. That residential market forecast proved optimistic as the market actually declined over 25% in the year. Additionally, we did not anticipate the commodities would escalate as much as they did earlier in the year. So versus our original outlook, we were forced to weather even more negative headwinds. Yet we were well positioned to overcome these hurdles and we did. As you may recall, we took immediate and aggressive actions in the second half of 2006 to better position our company for choppy economic conditions. Also rather than rely on growth, we centered our forecast on execution and productivity through lean initiatives, G&A reductions and manage investments for focused growth opportunities. This commitment to the fundamentals really paid off throughout the year. We did grow sales in 2007, led by double-digit growth from our key initiatives, industrial filtration, food service, desalination and commercial pool, and in global markets, as well as our electrical business, which grew high-single digit. However, the bigger drivers of our earnings growth were productivity and our streamlined cost structure. Many of these accomplishments are areas we will continue to turn on as we head into 2008. For example, we continue to staff up and lean with 60 new positions dedicated to our businesses since the end of 2006. And now, we have over 120 dedicated lean specialists in the company. As many of you know, lean is a journey. We made measurable progress in 2007, yet we have much more room to eliminate waste, improve effectiveness and serve the customer better. The accomplishments from lean sourcing and other productivity actions enable us to expand full-year margins in Water by 140 basis points and helped us to maintain the 15% margins that we have in Technical Products. Additionally our tax rate was a point lower as a result of the successful investment to structure our Swissco [ph] organization in Europe. And we have a good debt structure, thanks to the tremendous free cash flow in 2007, that impressive $285 million I like talking about. We also are proud of continued commitment to our dividend record. About a month ago, we announced a 13% increase in our dividend to $0.68 per share in 2008. This is the 32nd consecutive year that Pentair has increased dividend. So in summary, we made substantial progress in 2007, and we have momentum in our key initiatives and productivity actions as we head into 2008. Now, please turn to slide number eight. We wanted to compare 2006 and 2007 snapshot of our geographic convertible market mix to highlight the composition of our businesses and the success we're having in reshaping them. As we have discussed, their focus has been to flow our resources to our most attractive opportunities, it's working. We have been driving strong international growth and we acquired German-based Jung Pump. In 2007 for the first time Pentair had over $1 billion in sales outside the US. While sales in the US remains 68% of total company revenues, that level is a reduction of five points versus 2006. We continue to have a goal to achieve 60% US sales and 40% international sales in a few years. Bottom half of the slide shows a similar story. Residential markets represented about 35% of Pentair sales in 2006. As we exit the year, we have a more balanced market portfolio and currently residential markets represent only 30% of our sales. In 2007, municipal, commercial and industrial markets grew and we feel we grew in excess of the market rates there. The success of our key growth initiatives, which are focused on industrial, commercial and municipal global opportunities collectively added approximately $50 million of sales and grew over 15% in their our right. We are steadily transforming in already diverse set of businesses into a more attractive set of businesses. We look forward to updating you next year and expect to show even more balanced diverse Pentair in 2008. Similar to the previous three quarters, I would like to highlight one of our businesses. This quarter we highlight technical products on slide number nine. Technical Products is a $1.1 billion global business unit, it combines two businesses, a $650 million electrical business and a $400 million electronics business. Each business manufactures and distributes enclosures to a variety of markets, customers, applications and geographies. These enclosures get very widely from small standard metal enclosures to sophisticated systems to provide thermal protection, shielding or other performance features. Electrical and Electronics combined generated operating margins of about 15% and an after-tax return on invested capital of approximately 20%. In electrical markets, you have the premier North American enclosures brand Hoffman. This world-class business is a leader in North American commercial and industrial markets and fast growing in the datacom field. But the lean enterprise culture and a deep knowledge of the various vertical markets it serves, this business has a strong position. Distribution, as we have the commercial and industrial electrical channel. While mainly leveraging our North American distribution network, we are building the business globally. The combination of electrical and electronics under the long time Hoffman leader, Del Nickel into one GBU will enable these two businesses to better leverage international distribution, manufacturing facilities and vertical market knowledge. Our electronic business sells predominantly direct to OEMs. Electronics is slowly improving from our first half of 2007 bottoming out of sales and margins. We have become too projects... too big projects centric and lost our focus on a few more attractive segment. We were too tied to the big Telecom datacom market and when consolidation began to occur in that market, many of large projects were delayed or cancelled. We reinitiated more discipline in the business with focus on growing our presence in military, aerospace and medical applications. We expect the combination of electrical and electronics will take advantage of excess capacity in the electronics business, and we have already taken action to reduce capacity with enhanced closure of our Chicago facility. To summarize, the foundation of Technical Products is strong. We have a tremendous operating culture within Electrical, and we expect the combination of these two businesses under one technical products GBU and continue to improve margins and keep growth heading in the right direction. Now, please turn to slide number 10. We'll just spend a few minutes discussing one of our global business unit's technical products. Early in my comments, I addressed Water and we have also formed three global water businesses. Flow technologies, pool equipment and filtration. As you begin… begin to consider Pentair's global position in these markets, we thought this overview might be helpful. GBU has scale and real growth opportunities. We continue to invest in new products, vertical market teams, and sales and application coverage. We look forward to updating you on the success each of these GBUs achieves going forward. Now please turn to slide 11, which is my last slide before I turn it over to John. Back in October, on our third quarter earnings call we introduced full year 2008 guidance. We also highlighted our view of the major markets we serve. We're 100 days older and wiser and we maintain much of the same outlook. Certainly, the markets haven't improved since we last spoke. We also know that when markets do change, it can be sudden. We see the North American residential market continuing to be negative and we're forecasting a moderating growth in commercial and industrial in North America. John will provide more detail associated with 2008 financial guidance but let me discuss the underlying Pentair drivers here. Building on our performance in 2007, we're starting with a productivity first view. In the second half of 2007, we took significant additional restructuring actions that will yield benefits in 2008. We also are beginning to see more momentum from our sourcing initiatives and the fourth quarter 2007 run rate is a very encouraging tailwind. In 2008, we'll continue to manage our G&A costs aggressively and we expect to benefit from lower interest expense, lower tax rates, fewer shares and the removal of step up charges associated with our Porous Media and Jung Pump acquisitions. We're excited about many growth actions and investments too. Our key growth initiatives are strong and getting stronger. The telecom and datacom markets we serve in electronics are improving and it shows in our order rate. The reorganization of our business to global business units will open doors for increased international opportunities. Additionally, we're prioritizing and investing in our best growth initiatives and geographies by staffing them with our best talent. So while our current view includes modest assumptions for growth, we have significant opportunities, actions, and good momentum as we head into 2008. I'll now turn it over to John and let him provide some additional color on 2007 financials, Q1 outlook for '08 and full year '08 financial outlook. John?
John Stauch - Executive Vice President and Chief Financial Officer: Thanks, Randy. Please turn to slide number 12. Similar to last quarter, we designed this slide to help reconcile full year and quarterly-reported or GAAP earnings to adjusted earnings. If you start at the top of the chart, you can see our reported EPS for the fourth quarter 2007 was $0.48. This compares very favorably to the $0.39 we reported in the fourth quarter of 2006, which is noted in the bottom section. Our 2007 adjusted EPS is found in the middle section of the chart. We delivered $0.51 of earnings per share in the fourth quarter when you remove the $0.01 benefit from non-recurring tax items and add back the negative impact of $0.04 related to restructuring and a legal matter that Randy mentioned. The $0.51 is up 65% versus 2006 adjusted EPS of $0.31. In the middle of the chart, you can see we highlight the benefit associated with the change to our long-term defined benefit and retiree medical plans. Here are the details of that change. In Q4, we announced a significant modification to these plans effective January 1st, 2008. New employees hired after January 1st will not participate in these legacy retirement plans. Pentair employees participating in these plans before January 2008 will continue to accrue the exact same benefits for the next 10 years at which time, the plans will be frozen. The change to these plans will dramatically improve the variability of the associated expense, but more importantly, significantly reduce the overall pension liability, driven by discount rates and investment returns. For 2008, these changes coupled with a higher discount rate of 6.5% is expected to lower pension related expense and reduced our liability by about $50 million for year-end 2007. The result of these curtailments was worth about $0.05 per share net of implementation cost to the fourth quarter. I would also highlight that we are increasing the company contribution to employee 401(k) plan by 1 percentage point of additional matching dollars. This gives our employees affordability in the retirement plan that they desire. This increase will go into effect in 2008. So, qualified employees will have a higher company paid 401(k) contribution if they elect to participate. Separately, we took additional action to prove over cost structure going forward. These cost relate to non-severance related plant closure costs and market related adjustments to reserves. These actions cost $0.03 per share. Therefore the net impact of these actions is $0.02 and is included in our adjusted earnings per share of $0.51. The far right column of the chart shows the impact certain items had on our full-year 2007 earnings per share versus 2006. For the year, we generated $2.10 of EPS on a reported basis, up 16% versus 2006. Removing the impact of non-recurring items, our full-year adjusted EPS was $2.08. This was up 21% versus full-year 2006 adjusted earnings per share. This reconciles reported to adjusted earnings for the fourth quarter and full-year 2007. Please turn to slide number 13. This slide provides another way to look at our performance in the fourth quarter. We provide two columns. The first column walks adjusted EPS year-over-year and the second column walks reported EPS. You can see we had a $0.05 per share positive impact from volume and acquisitions. Sales growth in Technical Products and Pool & Spa along with our acquisitions of Porous Media and Jung Pump were the drivers of this performance. Price and productivity more than offset inflation and investments and led to a $0.12 EPS benefit. We continue to make nice progress with productivity. In 2007 price increases helped to offset escalating metal inflation, the next item related to the curtailment benefit net of cost actions. Finally, our ongoing tax rate continues to improve as we have completed the work associated with migrating to a European Swissco structure and moved manufacturing to China and other more favorable tax regions. This lower tax rate provided a $0.01 per share benefit. That detail walks you through the $0.51 of adjusted earnings per share in the fourth quarter 2007, up 65% when compared to last year's $0.31. You can see the same items applied to our reported earnings per share count although the starting and ending points are different. This difference is highlighted in the restructuring, legal and tax item detail provided towards the bottom of the wall. As you can see, a net negative $0.03 is associated with restructuring and legal items in the fourth quarter 2007. Also removing non-recurring tax items from both years yields a negative $0.08 to reported earnings. This bridges you to our $0.48 of reported earnings in the fourth quarter 2007, an increase of 23%. Let's move to slide number 14 and review our outlook for the first quarter 2008. We are forecasting sales to be up 3% to 6% with acquisitions expected to be approximately three points of this growth. We continue to see solid mid-single digit sales growth in Technical Products, international sales are forecasting continued growth, and our growth initiatives in Water expected to maintain double-digit growth rate. However, we have a difficult comparison in our pool and spa business, as the first quarter 2007 was strong, as timing associated with early buy programs in 2006 rolled over to first quarter of 2007. This will provide a small headwind in 2007 for our water segment. As we think about margins, the midpoint of our income range has total company margin expansion of approximately 50 basis points. We see Water margins of about 11%, and Technical Products maintaining 15% margins in the first quarter. During the first quarter of 2008, we'll transition to our global business unit structure and this investment will be behind us as we move into the second quarter. We're forecasting an ongoing tax rate of approximately 34% in the first quarter and for the full-year of 2008. This is an improvement of over a 100 basis points. This benefit will be more than offset by higher interest expense, which we expect to be up approximately $2 million year-over-year, due to Jung Pump and Porous Media acquisitions completed at the end of Q1 and beginning of Q2 2007 respectively. As a result of these items, we expect earnings per share between $0.46 to $0.48, or up approximately 12% using the midpoint of the range. And finally, as is typically the case in the first quarter, we expect free cash flow to be negative for the period. So, steady progress to start the year, as we expect to improve margins and transition to our global business unit structure. Let's move to slide 15, we put the slide together to provide more prospective on our full-year 2008 EPS guidance range. The first columns are 2006 to 2007 full year EPS walk on an adjusted basis. Rather than walk through all the details, you can see the impact growth, productivity, inflation and investment we had on our full-year. You can also see the impact from interest expense in ongoing tax rate in shares. Moving to the next two columns, entitled 2008 low-end and 2008 high-end, you can see our assumptions. This is designed to help you understand the factors that could push results in either direction within the guidance range. Let me highlight a few things. First, we expect to have a same year-over-year impact from the following items in both scenarios. 2007 acquisition should use $0.05 per share and this is really just a stub period, when we didn't have these businesses in our portfolio in 2007, as well as the absence of step-up charges. We're forecasting price increases worth $0.20 per share. This represents about 1% price appreciation versus 2007. This is half the price increase we generated in 2007. So I do not feel we're being too aggressive here. G&A productivity is expected to yield $0.05 per share. Finally, interest expense, tax rate and share count in aggregate should yield $0.08 per share. The variance between our low-end guidance of $2.25 of earnings per share and our high-end $2.40 is the following. The low end assumes volume declines of $0.16 per share year-over-year. This would be the equivalent of negative 2 to3 points of sales volume or contraction. If this transpires, we expect to see negative $0.10 per share of net manufacturing productivity as factory conversion and capacity would be negatively impacted. You can see this is reflected in the $0.05 for sourcing, manufacturing, and productivity. However, if those market dynamics occur, we would manage our selling and marketing initiatives and investments to a different rate, which would limit them to a negative $0.10 per share impact year-over-year or less if needed. In the high-end walk, volume provides $0.04 per share of EPS growth. The additional $0.20 of volume versus our low-end guidance will allow for our net manufacturing productivity to fully offset inflation. Thus sourcing and manufacturing would yield a positive $0.15 per share benefit in 2008. We may then elect to more heavily invest in selling, marketing and R&D initiatives, which is shown on the chart. So, we will continue to monitor the markets, our volume growth and then of course manage our investments accordingly. Either way, we continue to have a tremendous opportunity to improve sourcing, G&A cost structure and our manufacturing operations, which is our primary focus in 2008. Please turn to slide 16, which highlights our view for the full-year 2008. This is our last slide, so I will quickly walk through the details and then we'll open it up for questions. You can see our sales growth of 3% to 5% reflects annual sales between $3.5 billion and $3.6 billion. We expect to expand margins approximately 50 basis points for the total company, led by 75 to 100 basis point expansion in Water margins. We're forecasting Technical Product margin expansion of about 50 plus basis points. Full-year 2008 earnings per share will benefit from lower tax rate, share count and interest expense. In total, we would see 2008 EPS growth of between 8% and 15% versus 2007 adjusted EPS. Our targeted free cash flow is 100% of net income, and we hope to do better by driving improvements in working capital, mainly inventories. We also expect in 2008 with an after-tax ROIC of 10.5% up 100 basis points versus the end of 2007. Our Board recently authorized a $50 million share repurchase program, which we fully intend to utilize in 2008. So, in summary, our 2008 guidance remains fundamentally unchanged versus last quarter when we introduced it. And we're aggressively working to achieve our goals. We hope the information on this call was helpful and we look forward to answering any questions you might have. Operator, we will now open it up to your questions. Question and Answer
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Deane Dray with Goldman Sachs.
Deane Dray - Goldman Sachs & Co.: Good afternoon, gentlemen.
Randall J. Hogan - Chairman and Chief Executive Officer: Hi, Dean.
Deane Dray - Goldman Sachs & Co.: First of all, the level of details in the slides and your assumptions is very, very helpful. So I appreciate that. And specifically regarding the '08 guidance, last quarter when you introduced the guidance, you talked about a 25% coming from growth investment and contingency, maybe your wording has changed a little bit, but does that contingency go away and how is that reflected into our guidance?
John Stauch - Executive Vice President and Chief Financial Officer: No. Deane, you are right. I mean we didn't mean to change it up too much. We just probably would provide further details. But the contingency has really changed into investments, and we have now got, I think a more conservative view of price. And nothing has changed in that guidance. We just thought the high-end and the low end would provide everybody to be able to choose their assumptions based upon their own view of the markets. And the other thing is we had quiet growth last time.
Deane Dray - Goldman Sachs & Co.: Right. You split that that out. So just for the fourth quarter, the volume price lift for Water and Technical Products, so for Water, you had 2 percentage points. How does that split between volume and price?
Randall J. Hogan - Chairman and Chief Executive Officer: Repeat the question please.
Deane Dray - Goldman Sachs & Co.: For the fourth quarter, you grouped together volume and price as 2 percentage points. How does that split out? So I'm going to ask the same question for technical products so --?
John Stauch - Executive Vice President and Chief Financial Officer: Okay. Let me just grab this real quick. If you go to Water and take the volume and price component within water.
Deane Dray - Goldman Sachs & Co.: Yes.
John Stauch - Executive Vice President and Chief Financial Officer: About 1.5 of that is price, 2.5 of volume and the technical products is about one point... it's about... let's say, about two points of price and three points of volume.
Deane Dray - Goldman Sachs & Co.: Okay, good. And then over on the filtration side, what's the expectation regarding some of the CapEx spending of your customers, there was a pretty high profile announcement from Starbuck's is going to back CapEx. That's a big customer of yours. Will that weigh at all in terms of the growth expectations [inaudible] you've ever appear in your Ecolab joint venture?
Randall J. Hogan - Chairman and Chief Executive Officer: I would say, not. Obviously we are intimately watching what our customers do. But the announcement of McDonald and a number of other customers who are actually investing in copy service, the penetration we are making in the restaurant space as well as the success in growing our other channel like Ecolab, I think, are much more important to us than what any one customer might do in their CapEx spending. Plus most of that business has replacement cartages once you get them placed I mean they have to replace the cartages, so that’s one of the beauties of food service.
Deane Dray - Goldman Sachs & Co.: Okay. And last question on the pool business and the impact of the early buy in the fourth quarter. What was driving it, just better terms, better price, new products and then what was the EPS contribution?
Randall J. Hogan - Chairman and Chief Executive Officer: Yeah, there were no... there were... we didn't get any benefits in terms of terms being better this year versus last year. As you may recall, last year we set our production rates at a low level, and in fact orders came in a little bit better. So we ended up carrying more backlog from the early buy program into the first quarter because we wanted to get stable production and we didn't allow the business to ramp up in the fourth quarter of '06. That's the biggest difference year-to-year. We actually… this year, we saw the orders a little bit earlier. So we were able to hold our production rate to a little bit higher level. And so it's about $15 million swing year-to-year. So there's no economic difference.
John Stauch - Executive Vice President and Chief Financial Officer: As far as your question, I mean, I would say versus where we thought Q4 would line up, that was probably about a penny incremental contribution from a little bit more in the early buy. And obviously as you know we take a look at those programs and manage what the earlier... try to understand what the earlier in the standard buy is... so it's hard to tell at any given time when you get a little more early how much impact it has in standard. And so we're looking at sell through data. We've worked with our key distributors and customers, and just monitoring that market every day.
Deane Dray - Goldman Sachs & Co.: Got it. Thank you.
Operator: Your next question comes from the line of Curt Woodworth with J.P. Morgan.
Curt Woodworth - JP Morgan: Yeah. Hi, good afternoon.
Randall J. Hogan - Chairman and Chief Executive Officer: Hey.
John Stauch - Executive Vice President and Chief Financial Officer: Hey.
Curt Woodworth - JP Morgan: John, I think I may have missed this, but in terms of the high-end of your guidance, what was the organic growth assumption built into that?
John Stauch - Executive Vice President and Chief Financial Officer: We would say, the high-end is probably closer to 4% all in organic growth.
Curt Woodworth - JP Morgan: Okay. And that's basically the midpoint of what you have in terms of what you're talking about on slide 16, the up three to five... ?
John Stauch - Executive Vice President and Chief Financial Officer: Right.
Curt Woodworth - JP Morgan: And in terms of looking at the Water--?
John Stauch - Executive Vice President and Chief Financial Officer: Curt, not to... I mean we are trying to give a guide with a goalpost here. I'd say, the mix of our businesses mean something. If electrical continues to have significant growth, that means a really lot to us. Right?
Curt Woodworth - JP Morgan: Because the incrementals are much higher there or yes --?
John Stauch - Executive Vice President and Chief Financial Officer: Exactly. And if we get some shift in pool and spa business or some are lower-margin business, so we're trying to give guidelines here. But to frame it, we still think organic growth for the company is closer to 3.5 to 4.5, somewhere in that range.
Curt Woodworth - JP Morgan: Okay. And… okay then I guess within that in terms of thinking about the incremental margins on the business lines, can you give us a sense for what you are thinking about for growth for Pump, Pool and Filtration for '08?
Randall J. Hogan - Chairman and Chief Executive Officer: Sure, we're expecting all three to grow, but Filtration is our most global business and in next year, our global growth is really important. So I would say that global filtration and global flow technologies are the areas where we would expect to see the higher growth less so in Pool, it's the most North American. One of the reasons we gave the chart that we did in terms of the GBU split, the data on there once you get a chance to take a look at it shows you the present exposure to different markets by geography and also gives you some rough targets of what we think ROS would be. But I'm expecting flow technologies and filtration growth internationally to be higher.
Curt Woodworth - JP Morgan: And --
Randall J. Hogan - Chairman and Chief Executive Officer: I think electrical is no… we see no evidence that electrical is going to slow. They're doing really well in petrochem and a number of other segments. We read the same things everyone else does. We certainly are not on a mission, but right now our momentum is good, so I would expect electrical to be stronger. And I've taken a cautious view of telecom. They tell me telecom is going to come back and wait and see.
Curt Woodworth - JP Morgan: Great. And you do expect the Pool markets to be up for you?
John Stauch - Executive Vice President and Chief Financial Officer: We've got --
Randall J. Hogan - Chairman and Chief Executive Officer: No. No. Flat, flattish.
Curt Woodworth - JP Morgan: Flat, I got it.
Randall J. Hogan - Chairman and Chief Executive Officer: Just around a tad.
Curt Woodworth - JP Morgan: Okay. And then just lastly looking at productivity in the fourth quarter for Water up, it's about a 450 basis point benefit on no low-volume leverage. So I guess the question is looking out to 2008, if you assume that you get no volume leverage and I assume you still get the annualized benefit of the productivity that staggered throughout this year, would it be fair to say under that assumption that margins in Water should still grow, all those being equal?
John Stauch - Executive Vice President and Chief Financial Officer: Curt, I mean when you take a look at Q4, it was the first quarter for both Water and the company where sourcing outpaced inflation. So a significant piece of Q4 was finally starting to get ahead on the sourcing pipeline versus where we've been behind all year on the inflation, so nice overlap there.
Curt Woodworth - JP Morgan: Okay.
John Stauch - Executive Vice President and Chief Financial Officer: If you extrapolate that into Q1, Q3 and four next year, that's why we feel confident we've made progress finally on the sourcing deck. And also in 2007 and 2006 as Randy mentioned, we were doing some significant investment in lean and rearranging our factory footprint and we are beginning to see some benefit of that in Q4 and we think we'll see further benefit of that in 2008.
Curt Woodworth - JP Morgan: Great. Thank you very much.
John Stauch - Executive Vice President and Chief Financial Officer: Thank you.
Operator: Your next question comes from the line of Mike Schneider with Robert W. Baird.
Michael Schneider - R.W. Baird: Good morning, guys.
Randall J. Hogan - Chairman and Chief Executive Officer: Good morning.
Michael Schneider - R.W. Baird: Maybe just sticking with the Water Group organic growth, so it looks like you're looking for 3%, which is down just a hair from the 4% in 2007. Which group are your actually expecting to decelerate more? Is it the municipal businesses?
Randall J. Hogan - Chairman and Chief Executive Officer: Well, year-over-year, it's Pool. If you take a look at Pool, you think about that, we carried $15 million of extra early buy from '06 to '07 that we got in the first quarter. And then we had that… and then we had… we were up 11% or so in Pool in the fourth quarter. A lot of that's share, but a lot of that is… a lot of that was just the timing in early buy. So if you think about that swing right there it... '07 was higher in volume and that reads out in the organic growth. So that difference is probably all of it, I would say, will you John?
John Stauch - Executive Vice President and Chief Financial Officer: Yes, I would. I think if you take a look at what we... by business I mean I think, we think North American residential pump experienced as you are aware, a double hit in 2007.
Randall J. Hogan - Chairman and Chief Executive Officer: Yes, actually, in '07 residential filtration was worse than we thought, residential pump was worse than we thought, residential pools was better than we thought, and as going into the year, and then not surprisingly we understand why the markets were worse than we thought they would be. And we're still taking a pretty sober eye view of the North America residential market in '08.
Michael Schneider - R.W. Baird: Okay. Then on the North American pool business then because you benefited from a delayed buy in Q1 kind of a pre-buy in Q4, I guess give me your thoughts then just given the trajectory of housing renovation spending, why you believe pool could actually be flat in volumes and price?
Randall J. Hogan - Chairman and Chief Executive Officer: Let me call it a little bit down, obviously we use that as the base expectation. Couple of things, our success with new product is extraordinary. The IntelliFlow program along with one of our other environmental focus programs are doing really, really well, they are growing double-digit. In fact we take a look at what the markets did versus what we did even factoring out the early buy, we gained a lot of share. We also had some major wins I'm not... rather not point out who they are yet. But we converted one of the largest distributors in the country to Pentair in '07, and we get the benefit in '08 and we converted one of the largest pool builders in the country. And I don't think there is much overlap between those two. So, the... that helps. The other thing is we saw a lot of momentum in commercial pool, and the content is going up. In fact what I took this out of the… as long as you asked about pool, I took this out of the script because it was a little long. So we launched a new solar guard control, which basically integrates all of the efficient products along with this new controller, which can control a solar heater for pools, which we think is pretty cool. So we continue to innovate there. And 60 to 65% of the business is replacement to begin with, so --.
Michael Schneider - R.W. Baird: Okay. And then just on slide 15 on the walk through on the guidance, John, maybe you can just address specifically the price mix line is $0.20 to the low end of it to the high end. In this environment, I guess can you give us some sense of where the price would be coming from, because there is sort of volume pressure out in the marketplace today, especially in residential. It seems optimistic to get $0.20 additional in pricing on top of the $0.40, you got in '07 and maybe you can drill down as the specific what business units drive that?
John Stauch - Executive Vice President and Chief Financial Officer: Yes, I would say I would actually look at the other way I mean I think I felt we are being a little conservative because most of our price agreements right now are done and concluded. And I put in a little bit of push in for if we have to go back and soften those reductions, which we have not had to do yet. But were we still getting prices, raw material prices have eased as far as change, they have not softened or been reduced, and we're still gaining material push through in some of our markets and channels. Certainly, the market you are aware of, which I would say is residential submersible pumps is not price gaining market.
Randall J. Hogan - Chairman and Chief Executive Officer: That would be a net negative.
John Stauch - Executive Vice President and Chief Financial Officer: That would be a net negative. But most of other markets right now are holding in as far as our ability to gain price. And we [inaudible] we have the systems to track it and we keep an eye on it.
Randall J. Hogan - Chairman and Chief Executive Officer: I think I mentioned before, one of the prima facie evidence that you're in a good market is what kind of pricing degrees of freedom you have. And so that we actually track, as John said, really closely what our business can do. And we judge our businesses attractiveness in terms of investments based on… one of the things we look at is their ability to control their own destiny with price. So, we think… we don't think we are being aggressive as John said.
John Stauch - Executive Vice President and Chief Financial Officer: So, Mike, I'll give you some quick ideas without putting our business at jeopardy here in their markets, but we gain price in electrical, we're doing well. We are giving up price in some of the electronics markets in which we serve. We are experiencing pricing difficulty from our European based businesses competing against China, sourcing and/or North American sourcing. But as you are aware, we also make a lot of those products that ship into Europe from North America and to have in some cases with some of our products duplicate, product to offer from a lower source of the United States and we are benefiting from that on the other end. And so, we would say that we are probably experiencing similar to what the rest of the world is experiencing that the high euro is impacting our competitiveness from localized businesses in Europe. But, given the fact that we can compete out of United States in China, we are finding alternate ways to win that product.
Michael Schneider - R.W. Baird: Okay. And then just by contrast. It seems like you are being conservative on the volume FX line on that same walk through basically down $0.16, up $0.04, if organic growth is going to come in at 3.5 to 4.5 for the total company, why wouldn't there be more leverage on the volume?
John Stauch - Executive Vice President and Chief Financial Officer: I think you would see more leverage on the volume. And I think just trying to provide you that would see a down sourcing of manufacturing line and I think what we tried to give you was identification of what we can see today and kind of what we can count on.
Randall J. Hogan - Chairman and Chief Executive Officer: And the reason we added that was because, since we gave our guidance, it's pretty clear that the markets aren't better as I mentioned in the script. They are… they may come out a little bit worse. So, what we've been working on is to make sure that we have a plan that makes sense in the environment we see today. And these numbers are what I would call, as John called them a little earlier, guide posts that make sense. And this is not a 100% mathematically pure, right? So there is a tuck here and there and so, to Dean's question he asked earlier where the hedge go, it is in there.
Michael Schneider - R.W. Baird: Okay. Thank you again.
Randall J. Hogan - Chairman and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of John Quealy with Canaccord Adams.
John Quealy - Canaccord Adams: Good afternoon.
Randall J. Hogan - Chairman and Chief Executive Officer: Good afternoon.
John Quealy - Canaccord Adams: Going into Q4, just a quick question again in Water, North America residential water treatment, Randy, I don't know if you talked about it, how much was it down in the quarter and then also, what are your expectations for that piece of business in '08?
Randall J. Hogan - Chairman and Chief Executive Officer: It was actually not down when you looked at commercial residential. Residential was down, commercial was up. The residential, again, it was weak and probably mid-single digits, 4%, 5% down residential.
John Quealy - Canaccord Adams: And I would assume that is sort of the outlook for that particular residential line in '08?
Randall J. Hogan - Chairman and Chief Executive Officer: Yes. I mean, we are not… in our assumption, looking forward, we are not assuming any kind of market moves, moving the number. They have to based either on one of our global growth initiatives or on market rates, but that are more positive like Latin America or Middle East.
John Quealy - Canaccord Adams: Great. And my last question on the buyback, you mentioned that it is going to be enabled throughout the year. Any particular trigger points, evaluation or timing that you're looking out there?
Randall J. Hogan - Chairman and Chief Executive Officer: We intend to do it all, to take the $50 million and we'll put it to work. But I don't think I would give any guidance as to what, where and when.
John Quealy - Canaccord Adams: Thanks guys.
Randall J. Hogan - Chairman and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Jim Lucas, Janney Montgomery Scott.
James Lucas - Janney Montgomery Scott: Good afternoon guys.
Randall J. Hogan - Chairman and Chief Executive Officer: Hi, Jim. How are you doing?
James Lucas - Janney Montgomery Scott: A couple of questions here. First, following upon something Michael touched on Fairbanks. With the growth you have seen there in the backlog, is that a share market dynamics, can you just give us a quick update on the municipal side and on the flow business, have you seen any signs of slowing in any pockets on the commercial side?
Randall J. Hogan - Chairman and Chief Executive Officer: I would say on the municipal side, that we would counter the share but what I think we are doing is we are reaching into more segments that we might not have been competing in before. So, for instance we've had some nice wins on the some water reuse programs out in California. We have got more business that we are doing in the Middle East. So I would say that, I would say we have more add backs [ph] which is really encouraging and by the way and there is more add backs we need to go get. That I think… that's an opportunity, that business is one that we can globalize, we have begun to globalize and our Fairbanks Morse team has done a great job with that. So I would say that, I think we are growing in fact we have grown our backlog faster there but I would not say it is a win rate. I would say it's the number of add backs, that's the way I think about bid businesses. And then in terms of commercial, our commercial business has remained strong because they are doing more and more export and we have seen a moderating volume in North American commercial. But at the same time our export business has increased.
James Lucas - Janney Montgomery Scott: Okay. And the switching gears on the acquisition side, two unrelated questions. One, can you just, you have talked with regards on the capital allocation about the share repurchase, but if you could just give us the thought process of how you are approaching the M&A market going forward and secondly with your commentary about the acquisition being ahead of expectation, could you just talk briefly about where those expectations have been exceeded?
Randall J. Hogan - Chairman and Chief Executive Officer: Yes, first your first question, acquisitions have always played a role in our strategy, they continue to and we continue to look in the places that support our strategy, which we have talked about before. In particular those areas are today can extend our reach globally and get us into new markets or to extend our reach vertically in terms of vertical markets that we want to be in or technical capability we want to be in. So if you look at Jung Pump, it basically extended our flow technologies business globally with a great brand and a great franchise position in Germany with a window on the Eastern Europe. And that in case of Porous Media it extended us into industrial filtration, raised our technology profile, gave us nice windows in the oil and gas and strengthen us in industrial filtration. So you can expect more of the same around technology and around global expansion would be my priority areas I would look at, but anything that supports all four of the GBU are investable. So anything that supports those four GBU strategies like McClain [ph] did a number of years ago for technical products would be something we would look out as well. The second part of your question was about --.
James Lucas - Janney Montgomery Scott: Integration and --.
Randall J. Hogan - Chairman and Chief Executive Officer: Oh the integration of the two businesses. Right now, I would say Porous Media is beating on both bottom line and top line and in particular there is a number of growth initiatives that have frankly exceeded plan. One of them we have talked about is the pre-filtration product that basically they have invented for desalination plants, which we have in test right now. That product is called Aqualine and there is a number of other areas were their technology is applicable in food service and actually in some things in tech products that we are looking at right now, which is kind of interesting, but early on more the experimental stage. But they have also achieved the growth we expected them to achieve in the core markets that they are in which are oil and gas and medical. So in that case… and in the case of Jung Pump, I think they have exceeded it… about matted [ph] on the top line and they have beaten it on the bottom lines of greater productivity is the source there. And we are just beginning to get after the Eastern European opportunities that Jung presents to us, so. That's why I am feeling really good about both.
James Lucas - Janney Montgomery Scott: Okay. Thank you very much.
John Stauch - Executive Vice President and Chief Financial Officer: Thank you.
Randall J. Hogan - Chairman and Chief Executive Officer: Thanks, Jim.
Operator: Your next question comes from the line of Francesca Mccann with Stanford Financial.
Francesca McCann - Stanford Financial: Hi, good afternoon.
Randall J. Hogan - Chairman and Chief Executive Officer: Hi, there.
John Stauch - Executive Vice President and Chief Financial Officer: Hi.
Francesca McCann - Stanford Financial: Good year.
Randall J. Hogan - Chairman and Chief Executive Officer: Thank you.
Francesca McCann - Stanford Financial: Looking at Europe quickly and kind of a break down of your business in Western Europe versus Eastern Europe versus the Middle East and then also what do you see when you're looking at those different markets?
Randall J. Hogan - Chairman and Chief Executive Officer: They are looking up the numbers specifically. While they are doing that, just in terms of where we see it. For the Middle East it's largely for us the Turkey down through Saudi Arabia. We saw, as I mentioned, 20% growth. That business for us is growing very well in commercial markets and in what we would call municipal here, but I would call the infrastructure there, food service is a big opportunity and we continue to invest to grow there and I would be disappointed if we don't do another 20 plus percent in the coming year. Eastern Europe, we are growing well but it's still too smaller base. So one of the things that I would like to see from our GBUs is more resources deployed to grow Eastern Europe faster. The business if you look at it from a Water standpoint… from a technical product standpoint, it's probably 90% to 95%. It's still in Western Europe, and so they have a big opportunity. That's excluding Israel, actually they have a pretty good business in Israel. So it’s probably closer to the 90%. And then for Water, it's still probably about 80% in the Western Europe with the Middle East being 5 to 10 and Eastern Europe about 5.
Francesca McCann - Stanford Financial: Okay. And then if you can kind of go into detail on what you are seeing in Western Europe and even country specific, what the outlook there is?
Randall J. Hogan - Chairman and Chief Executive Officer: I can't get any company... country-specific. Basically in Western Europe, we have some of the best growth we have ever seen in Western Europe in '07 but there is some moderating growth there and with the Euro where it is, you can be nothing but cautious. I mean, they are losing their competitiveness globally. So we... when we talked about having a cautious outlook on volume, I would say Western Europe is also one more cautious about not just North America.
Francesca McCann - Stanford Financial: Okay. And for both Water and Technical Products then?
Randall J. Hogan - Chairman and Chief Executive Officer: Yes, although Technical Products did not have a great year growth in Western Europe. They actually had more promising growth now than they had in '08. So my comment about the greatest year... a great growth year was really a Water product.
Francesca McCann - Stanford Financial: Okay.
Randall J. Hogan - Chairman and Chief Executive Officer: In '07.
Francesca McCann - Stanford Financial: Okay. So overall then again just to reiterate the Western Europe growth perhaps flat or perhaps kind of minimal growth in water and flat or maybe declining in Technical Products?
Randall J. Hogan - Chairman and Chief Executive Officer: No, I would expect it is going to be up in '08. Because again they didn't have a good Western... they didn't have a good growth in '07.
John Stauch - Executive Vice President and Chief Financial Officer: Electronics and Technical Products is more project-specific, Francesca. And if you take a look at Water, it is more market dependant. So I think where we see it, we know kind of where our program wins are on the electronic side in Western Europe. Your comments about us being flat to modestly up in water are appropriate.
Francesca McCann - Stanford Financial: Okay. Great. And what about India? If you can tell us what you are seeing there and what growth opportunities and timeframe you see looking at that market?
Randall J. Hogan - Chairman and Chief Executive Officer: Well, India is three things for us, it's our largest engineering center, which we continue to grow in Delhi, and they are integrated into our global product development activities. There is Goa, which is our factory and the base of our in India business. It's our global base for CodeLine, which is the vessels for our reverse osmosis. And then it is the base for the business that we are building in India. Actually both for Technical Products and for Water right now. Technical Products is growing very nicely from a very, very small base. And we are looking there at what we need to do in order to expand our capability in the country, but obviously country is important in the communication space as India is a big technical products market opportunity for us. And then in Water, we had very solid growth from a bigger base and in particular our focus is on commercial and we had good success with our rural water program that we have put in place. So, mostly the commercial arena and we are trying to get bigger than industrial. We pulled back on our residential activities in India.
Francesca McCann - Stanford Financial: Okay. Great. And then last question just some update on the Franklin Electric [inaudible] situation?
Randall J. Hogan - Chairman and Chief Executive Officer: It is what it is. I mean it continues to be a tough battle in a market that’s down. We have over 90% acceptance rate on our Pentech motored pump and we are out there doing hand-to-hand combat. So it has gone according to oil and it's not what I spent a lot of time worrying about.
Francesca McCann - Stanford Financial: Okay. All right. Thank you so much.
Randall J. Hogan - Chairman and Chief Executive Officer: Thank you.
Todd Gleason - Vice President, Investor Relations: Latonya, this is Todd Gleason, how many more people do we have in the queue?
Operator: Looks like we have two more questions in queue.
Todd Gleason - Vice President, Investor Relations: Okay. Let's try and answer those then.
Operator: Thank you. Your next question comes from the line of David Whang with Lehman Brothers.
Dan Whang - Lehman Brothers: Good afternoon. Actually it is Dan.
Randall J. Hogan - Chairman and Chief Executive Officer: Hi, Dan.
Dan Whang - Lehman Brothers: How are you.
Randall J. Hogan - Chairman and Chief Executive Officer: We knew that.
Dan Whang - Lehman Brothers: Okay. Well thanks for taking my question here. On slide number 10 you have the break down of the different business segments with their current margins and I guess you have [inaudible] 10% and a flow and filtration at 14%. So as you expect a 100 basis point improvement in margins in '08, I mean where will be… will we be seeing those margin improvements, is it primarily flow in filtration with the pool, I guess the volumes are still expected to be flattish?
John Stauch - Executive Vice President and Chief Financial Officer: Well, given then our business are listing, we clearly expect it from everywhere. If you think about externally, when we take a look at it, I think the biggest opportunities we see are continuing to expand the flow and those are global margins. So, clearly we think we have significant upside there. Pool and spa has been doing a lot of work on lean and manufacturing and sourcing enhancements. So, despite our view of a flat market, we think there is significant opportunity in the pool and spa side. And then filtration of water, we are getting the operational improvements, but to Randy's earlier question, it's also our most amount of investment on strategic marketing and R&D. So we are probably in the 20 to 30 basis points in filtration. And in the others, we are expecting 50 to 100.
Dan Whang - Lehman Brothers: Okay. And so in terms of Pool, I mean where it is the margin gap between the other two segments. Is there anything structurally different… backlog?
Randall J. Hogan - Chairman and Chief Executive Officer: Yes. I mean the pool business… the pool and spa business is made up of basically pool equipment, which is the thing we all think about behind people's homes and in hotels. There is the Spa business, which is basically pumps and fittings for Jetted Tubs and Jacuzzi type Spas that everyone is familiar with and then there is National Pool Tile, which is our distribution business that sells tile and other related products in the pool industry. The margins are very different between those three. Pool equipment is really quite a bit higher than that 10% and the other two can't see 10% from where they are. So they have a mixed issue.
John Stauch - Executive Vice President and Chief Financial Officer: Does that answer your question.
Dan Whang - Lehman Brothers: It certainly does. The second final question is, obviously we are seeing faster growth in Europe and Asia in Pool segments, and I think particularly just honing in on Water, I think historically you've had more favorable margins in the European business and just wanted to just get a better feel in terms of the relative margins, the North American Water versus Europe, Asia and currently and kind of the trends expected going forward?
Randall J. Hogan - Chairman and Chief Executive Officer: Well, Asia is the lowest. Just staying with Water, Asia is lower margins, North America is the middle and Europe is indeed higher in margins and quite well in the two biggest businesses there in filtration and flow technology. And our focus there is, we want to make sure that we grow. So we want to invest and I don't want to say, we don't want margins to go up in Europe, I would like margins to go up in Europe. But I really want to see us invest, to grow and I think our opportunity in the Middle East is vast. And one that we could put and should put a lot more resources against and Eastern Europe as well. So I don't necessarily project the margins in the Eastern Europe and the Middle East to be the same as in Western Europe.
John Stauch - Executive Vice President and Chief Financial Officer: And as we mentioned, Dan, I mean we have access capacity in North America, but quite frankly, we are proud of the way our teams have moved to take people out and we are keeping patience margins despite the softer value in North America. And I think we are going to be well positioned when the market returns with a much better cost position that we can continue to grow from.
Dan Whang - Lehman Brothers: Got it. Thank you very much.
Randall J. Hogan - Chairman and Chief Executive Officer: Thank you.
Operator: Your last question comes from the line of Christopher Glynn with Oppenheimer.
Chris Glynn - Oppenheimer: Thank you.
Randall J. Hogan - Chairman and Chief Executive Officer: Hi, Glynn.
Chris Glynn – Oppenheimer: Hi. On the tech products, electronic side you got a pretty nice ramp in the margins, in the third quarter, maybe in the second half kind of the trough quarters, how much variability and dynamism is there still there or do you feel you are kind of… at a new sustained kind of stability even if it’s well below the electrical side?
Randall J. Hogan - Chairman and Chief Executive Officer: There is still more margin improvement to get in electronic. Right now, if you look at electronics, actually our highest margins are Asia and our lowest margins are North America. So, we still have ways to go in terms of getting North American margins up. The trend is good, but North America in particular isn't close to what we believe they should be running at. So, and in Europe, I wouldn't mind seeing some more margin expansion there. Asia, good margins, let’s grow some more.
Chris Glynn - Oppenheimer: Okay. So you don't see much risk of market dynamics causing regression to those kind of trough quarters?
Randall J. Hogan - Chairman and Chief Executive Officer: No.
Chris Glynn - Oppenheimer: Okay. And then, just on the organic growth again, I think that someone asked a question about the 3% or 4% guidance versus this year, and the delta was pointed to the interesting year with a strong thrust in fourth quarters for pool. Just another delta, it sounds like I think you called for softening in the commercial industrial North America markets, is that just something that's kind of factored… how is that factored in?
John Stauch - Executive Vice President and Chief Financial Officer: We have seen moderating growth, but not significant downturns there. And so, I'm not even predicting a significant impact to us, if that makes sense, but I don't think we're going to count a double-digit growth in those space even.
Chris Glynn - Oppenheimer: Okay.
John Stauch - Executive Vice President and Chief Financial Officer: I mean, just to summarize Randy's comments and Todd will certainly work this through with everyone. If you take a look at the growth by the three water businesses, we are highlighting that pool had a fantastic year and that's what we're trying to identify, that they had a great year with energy efficiency, the programs Randy mentioned and really growing share. I don't think it's prudent to expect that we continue to do that in this type of marketplace. So we are not expecting significant downturn, just moderating. Conversely, I think pump is going to have a better year than we had in 2007, primarily because I think they had a dual impact of a residential downturn and significant amounts of inventory out of the channel. And I think we would expect a little bit better North American flow here. And filtration has anniversaried on several customers issues that they had and are beginning to see momentum on their growth side as well. It's just the residential water treatment of their business is a fairly large impact to them. So I would expect them to be a little bit better as well.
Chris Glynn - Oppenheimer: Great. That's helpful. Thanks.
John Stauch - Executive Vice President and Chief Financial Officer: Thank you.
Randall J. Hogan - Chairman and Chief Executive Officer: Okay. Thank you all. Operator, we will close it out now if you give the callback number, if anyone wants to listen.